Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2012 Dice Holdings, Inc. Earnings Conference Call. My name is Gina, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes.
 Now I would like to turn the presentation over to your host for today, Ms. Jennifer Bewley, Vice President of Investor Relations and Corporate Communications. Please go ahead. 
Jennifer Bewley: Thanks, Gina, and good morning, everyone. With me on the call today is Scot Melland, Chairman, President and CEO of Dice Holdings; along with Michael Durney, Senior Vice President of Finance and Chief Financial Officer.
 Please note, this morning we issued a press release describing the company's results for the first quarter of 2012. A copy of that release can be viewed on the company's website at diceholdingsinc.com. In fact, we post all material information to our website and would encourage all investors to visit the site for more information on the company.
 Before we begin, I'd like to note that today's call includes certain forward-looking statements, particularly statements regarding future financial and operating results of the company and its businesses. These statements are based on management's current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may vary materially from those expressed or implied by the statements herein, due to changes in economic, business, competitive, technological and/or regulatory factors. The principal risks that could cause our results to differ materially from our current expectations are detailed in the company's SEC filings, including our annual report on Form 10-K, in the sections entitled Risk Factors, Forward-looking Statements and Management's Discussion and Analysis of Financial Condition and Results of Operations. The company is under no obligation to update any forward-looking statements except as required by federal securities law.
 Today's call also include certain non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin and free cash flow. For details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, please refer to our earnings release and our Form 8-K which has been furnished to the SEC, both of which are available on our website.
 With that, I'll turn it over to Scot. 
Scot Melland: Great. Thank you, Jennifer. First let me welcome all of you do the Dice Holdings First Quarter 2012 Conference Call. I'll start today by discussing our first quarter performance, including our thoughts on the key trends in each of our verticals. Then I'll hand it over to Mike Durney, our CFO, to take you through our financial performance. Finally, I'll make a few closing remarks and then we'll open it up for some questions.
 Q1 was a very good start to the year. As we continued to grow our customer base and professional communities around the world, we also made nice progress against our long-term operating goals. In Q1, revenues increased 15% year-over-year to $46.1 million. Customer billings also grew, increasing 10% year-on-year, with good performance at Dice and Rigzone, partially offset by a decline in billings at eFinancialCareers. Adjusted EBITDA grew 16% to $18.5 million and we generated nearly $22 million in free cash flow. These results, I think, demonstrate the attractiveness of our professional communities and the value and efficiency our services deliver for our recruiting and hiring manager customers.
 Now let's take a look at our major brand. At Dice.com we continue to see healthy recruiting activity for technology professionals around the country with no real shifts in overall market sentiment from this time in the last quarter. Recruiting rebounded from the normal year end seasonal dip. And as of the beginning of April, jobs postings are up 11% year-over-year, with a bit stronger growth from some of the top regional tech centers like Boston, Atlanta and Dallas. Sourcing activities is also strong, as the number of resumes viewed on Dice increased year-over-year, even when you account for the additional customers we serve. Those customers are searching a growing collection of profiles and resumes, with resumes up 4% year-over-year, putting our searchable collection at over 1.4 million. In Q1, we've made good progress in product development, upgrading our mobile applications, making registration, job application and browsing content much easier to do. And those changes are having an impact, as today, we see about 10% of our visits coming from mobile devices. We believe that mobile usage will continue to grow. So these apps will become an important part of our distribution over the coming years. In addition, we launched a handful of new talent communities and rolled out enhancements to our search and matching technology. Today, we have talent communities in 7 areas: Android, mobile app development, Ruby on Rails, software engineering, online game development, project management and Silicon Valley. These talent communities are important because they offer unique content and are another way we are serving our passive user base. Looking forward, we believe that the healthy recruiting market in tech will continue through 2012, even though we have yet to see the surge in turnover we would normally expect in an economic recovery.
 At eFinancialCareers, the story is a bit different. Recruitment activity in financial services slowed, as we expected, in the first quarter. Recruiting continues to be impacted by the uncertainty surrounding the sovereign debt crisis and overall banking profitability. The environment is most challenging, as one would suspect, in Continental Europe in areas like France, Italy and the Benelux region. Germany is much more resilient, as is the U.K. and the Asia Pacific region. During the quarter, we saw some staffing agencies and financial institutions adjust downward their recruiting programs to match their current needs. But these reductions have been much less severe than what we saw during the recent financial crisis. It's clear that the current environment is not a replay of 2009.
 Job postings, worldwide, are down 19% year-on-year with deeper declines in Europe and the U.K., but job postings have been essentially flat now for the past 3 months.
 Work on the new eFinancialCareers product platform continues to progress. The new platform is important because it will enable eFC to better support local language and character sets in some of our newer markets like China and Russia. It also provides enhanced account management tools for our customers and improves our search-and-match functionality and mobile capability. During Q1, we also continued to build our presence in Asia, adding some key sales and marketing hires, and we opened up a sales office in Hong Kong in March.
 Moving on to the Energy segment. Rigzone had a very strong first quarter, benefiting from a strong recruiting market, as well as the investments we made in sales and product development. As I mentioned in our last call, we combined the 2 energy career sites into Rigzone, allowing us to go to market with a single brand and a single global community, and we are pleased with the early results. In Q1, Rigzone's traffic grew, as did its page views, customer base and flow of new profiles and resume. We also continue to build out the team around the world. In March, Paul Caplan [ph] joined Rigzone as President of the Americas, responsible for leading our efforts in North and South America. Paul has many years of experience in media, marketing and publishing, including several years in the oil and gas industry. He will work closely with our other senior managers to set the overall direction and to drive performance at Rigzone.
 Since the beginning of the year, we've added sales people in Perth, Singapore, Dubai and London, improving our overall sales coverage in the Asia Pacific region and EMEA, and we've strengthened our worldwide customer support team. There's more work to do to better cover the local energy markets around the world with editorial, career opportunities and targeted advertising. But we love the dynamics of the energy business and we're very excited about Rigzone's global opportunity.
 Another addition to the Dice team in Q1, that I want to mention, is Bennett Smith, who joined us in February as our Chief Technology Officer. Bennett is responsible for developing the technology strategy for the company and driving innovation through the development and use of new technology. We look forward to reporting on our progress in those areas in future quarters.
 So overall, I'm very pleased with the way we started the year, as we continue to make progress against our key operating goals specifically expanding our customer base, improving our products and services and building out our Energy business.
 So with that, I'll turn it over to Mike to discuss our financial performance. 
Michael Durney: Great, thanks, Scot, and thanks to everyone for taking time to join us today.
 In summary, it is another solid quarter. On a year-over-year basis, revenues were up 15%; adjusted EBITDA up 16%; net income up 31%; earnings per diluted share up 44%; free cash flow up 56%; and deferred revenue was up 18% year-over-year and up $8.8 million from December 31.
 So with that summary, let's move on to the segments. 
 Revenues in the Tech & Clearance segment increased 21% year-over-year to $31.1 million. Focusing on the customer metrics for Dice, at quarter end, the Dice business had 8,650 recruitment package customers, up from 8,100 at the beginning of the year. Of the 8,650, a total of 7,450 customers were under annual contracts, which is the new all-time high for Dice. For us that means a couple of things: First, it's a nice milestone to have the most customers under annual contract in our history; more importantly, it's a confirmation of the strong value that Dice provides in today's market. Our specialty-focus, speed and efficiency resonates with hiring managers and recruiters, resulting in more recurring usage which results in more annual customers. In Q1, the renewal rate on annual contracts was 73.5%, with slightly less than 2,000 contracts up for renewal in the quarter. Average revenue per customer increased 6% year-over-year to $956 per month per customer, up from $951 in the previous quarter and $900 in last year's first quarter. To put some context around the longer-term growth in this metric, at the low point in the downturn, which was Q4 of '09, our customers were on average generating $808 per month. Since that time, average revenue per customers increased 18% and our customer base has jumped by more than 2,700 customers. Terrific results.
 Since most new annual customers are likely to start the usage of Dice at the base level service, which is $6,500 for an annual contract or $550 per month, we expect average revenue per customer to be relatively flat through the remainder of the year, which is something we said would happen for quite a while.  Upticks in level of service from some customers will be offset by the averaging-in of the base level new customers. Strong results across the board for Dice: billings, revenue, customer account, annual renewal rate and revenue per customer. And clearance shops grew 18%.
 Moving on to the Finance segment. Revenue for the eFinancialCareers business was down 5% year-over-year to $10 million. Currency translation negatively impacted revenues by $170,000 so excluding that impact, revenues declined 4% year-over-year. Although down year-over-year, revenues were up -- I'm sorry, billings were up from Q4, giving us continued confidence that we're not looking at a replay of the performance in the financial crisis. The relative revenue decline in the last 2 quarters pales in size compared to what we experienced in the '08 and '09 period.
 So looking at the individual markets, in the U.K, which continues to be a little more than 40% of the segment, revenues declined 4% year-over-year, measured in sterling. In the first quarter, Asia Pacific became the second largest region for eFinancialCareers. In the quarter, its revenues increased slightly, measured in Singapore dollars. No great change in sentiment. Clients and prospects are still relatively cautious on 2012. But it's an area that we've invested additional sales and marketing resources to more fully capitalize on the region's growth.
 In Continental Europe and the Middle East, revenues decreased 5% year-over-year, measured in euros. Some markets are better than others and some vertical areas are better than others. So for example, IT consulting, insurance and corporate business. But the core financial services recruiting hasn't shown any improvement, and we continued to expect soft trends in Continental Europe.
 In North America, revenues were down 15% year-over-year, but billings were only down 7%.
 Switching over to Energy, since we have now integrated the 2 sites, we report all the performance metrics on a combined basis. Revenues were up 32% to $4 million in the first quarter. For a little color on the main revenue streams, advertising was up 28%, career center was up 37% and data services was up 12%. Billings jumped 48% year-over-year, generating a $2.8 million increase in deferred revenue at March 31, compared to year end. The combined business has really come together and we're excited about the path it's on. During the quarter there was a short-term impact on revenues in the integration period as our sales and client services teams were helping customers with the transition, and so we didn't book as many short-term deals as we would have liked. But our total quarter billings performance certainly demonstrates that we're on a significant growth track.
 So to wrap up the segments, business was generally as expected. On the cost side, we continued our investments in sales, marketing, product development, with cash cost, which is operating expenses excluding depreciation, amortization and stock-based comp, up nearly 15% year-over-year. We did not get to all of our products and marketing initiatives in Q1, but the plan is unchanged and we see this as a timing issue versus a change in strategy.
 Adjusted EBITDA grew 16% to $18.5 million which resulted in adjusted EBITDA margin of 40%. Net income increased 31% to $8.6 million or $0.13 per diluted share, which is 44% higher than the year ago.
 Moving onto the balance sheet and cash flows. Deferred revenue totaled $69.7 million at March 31, an increase of 18% year-over-year and up $8.8 million from the December 31, 2011 balance. That increase was driven primarily by the performance of Dice and of Rigzone.
 Net cash from operations in Q1 was $23.4 million, an increase of 58% year-over-year. The largest drivers are growth in net income, change in accounts receivable due to the timing of billings and collections, and lower year end performance-based compensation paid in the first quarter of this year than last year. Capital expenditures totaled $1.4 million so free cash flow for the quarter was $21.9 million, which is up 56% year-over-year. We repurchased approximately 1.35 million shares of common stock during the quarter, at an average price of $9.04 per share, for a total cash expenditure of $12.3 million. In March, we announced a new $65 million authorization, from the board, to repurchase our common shares upon completion of our previous 30 million repurchase plan. From the start of the first plan, last August through March 31, we repurchased nearly 3.7 million shares at an average price of $8.71 per share, returning $32.2 million of cash to the shareholders. That leaves $62.8 million available for share repurchase under the authorized plans as of March 31. We ended the quarter with nearly $69 million in cash and investments, the majority of which is held outside the U.S., and we have $14 million remaining/outstanding on our term loan facility.
 So in summary, we delivered strong financial results for the first quarter, returned cash to our shareholders and continued to execute against our long-term strategic plan. A good start to the year.
 Moving onto an updated view of our anticipated financial performance. First I'll give you an updated view on the full year and then provide initial expectations for Q2. For the full year, we are increasing our revenue expectation by $1 million to $198 million. We anticipate total cash expenses to be $116 million, which is down slightly from our initial guidance, and that results in an increase of adjusted EBITDA of $2 million to $82 million for the year, 41% adjusted EBITDA margin. For the second quarter, we expect revenues of $49 million, up 9% year-over-year. Total cash expenses, we expect to be $30.5 million with an adjusted EBITDA of $18.5 million or 38%. As compared to Q1, we anticipate spending more in marketing and product development in Q2, as we previously talked about the timing issues. You should expect to see that, specifically at the Dice business and at Rigzone.
 And with that overview, I'm going to turn it back to Scot. 
Scot Melland: Thank you, Mike. As you can see, Q1 was a solid start to the year with good customer, revenue and profit growth, despite the drag we have in financial services. We also made significant progress upgrading our products and services, building out our presence in Asia and building out our energy business. I think Q1 positions us very well for a successful 2012.
 Thank you all for listening. And with that, why don't we open up the call for some questions? 
Operator: [Operator Instructions] And your first question comes from the line of Jeff Silber with BMO Capital Markets. 
Jeffrey Silber: My first question is on the Dice.com site. What type of companies are you seeing most growth from? Is it staffing agencies, technology companies, non-technology companies? Any color would be great. 
Michael Durney: Well, we actually have seen customer growth in each of those segments that you mentioned. I think, if you were to break down the new customers, what you'll see is a little bit more growth on what we would call our direct hiring companies. Kind of small to medium-sized direct hiring companies, which has been one of the pushes of our company, overall, to penetrate that part of the market. But generally, we saw growth from recruiters, from staffing firms and from regular corporates. 
Jeffrey Silber: Great. And you mentioned the strong renewal rates. Can you just remind us about the seasonality within that metric? 
Michael Durney: Sure. From a customer account standpoint, Q4 is the highest level that we have because we have a fair number of customers that are on calendar year and they renew in Q4. Historically, it's been about 30%. Q1 this year was pretty high, given the growth in the business last year and customers renewing this year. Q2 tends to be lower than the others and Q3 is a little higher than Q2. 
Jeffrey Silber: Great. If I can just sneak in a quick numbers question. What are you guiding for capital spending for the year? 
Michael Durney: I would expect it to be somewhere in the $5 million to $7 million range. 
Operator: Your next question comes from the line of John Janedis with UBS. 
John Janedis: I think there was a reference, in the 10-Q, related to a decrease in salaries, in costs and spend comp at the Energy segment. Can you give us detail there, was that a timing issue? 
Michael Durney: Yes. I don't think we'll give you a lot of detail, but we used to have 2 separate businesses that had 2 organizations. When we bought them in 2010, those existed through the first quarter of 2011, and now we've made that change. Scot referenced hiring a new president of Rigzone's Americas business and that happened right at the end of the first quarter. 
John Janedis: Would you guys expect the net headcount there, combined, and hiring staff still to be down year-over-year then? 
Michael Durney: No, the headcount's up. The piece that's in G&A, the cost of what's in G&A, is down. But the headcount, overall in the business, is up. 
John Janedis: Okay. And just on the eFC, from that perspective, I know it turned negative during the quarter, as you mentioned. In the implied guidance, it suggested it could weaken further in second quarter, but then does it also imply that it kind of flatlines from there? 
Michael Durney: Yes. That's a good read. 
John Janedis: So maybe we mark the bottom here and then maybe add some in the bottom and hopefully it gets better from there. 
Scot Melland: Well, I think, you're right. I think, what we're really seeing in the business is that customers have adjusted their recruiting activity or their recruiting plans, really, to the environment that they see right now. And we went through that transition. Now there's still uncertainty, obviously, in that recruiting market. But you're right, we're probably bouncing along until we see a change in the market environment. 
Operator: Your next question comes from the line of Tim McHugh with William Blair & Company. 
Timothy McHugh: First, Mike, can you give us the billings growth by the segments again? I'm sorry, I don't think I caught all those, as you were running through those. 
Michael Durney: Sure. So Tech & Clearance was up 12%. Energy was up to 48%. Finance was down 10%. 
Timothy McHugh: Okay. And on that Energy business, with 48% billings growth, the guidance seems to imply kind of 30% to 35% revenue growth. Is there a reason why those 2 shouldn't be closer together as we look forward to the next couple of quarters? 
Michael Durney: I think the main reason is not unlike the Dice business. There is some seasonality to how customers buy the service. I think advertising is slightly different than career center, and it's slightly different than the Event's business. One of the biggest events is in Q2. So there's some billings for that in Q1. So we've talked about this before. I wouldn't read too much into one quarter's billings since it's very timing-based, as compared to expectations for revenue. There is a reason why they should be different. 
Timothy McHugh: I mean, and then I guess along those lines, deferred revenue growth was a little better than the billings growth which -- I know, deferred is a point in time only but is there any color around any differences between the 2 of those? 
Michael Durney: Yes, deferred revenues, the accumulation of 4 quarters worth of billings versus revenue as compared to just measuring one quarter. 
Timothy McHugh: On the customer account, you mentioned you're at an all-time high for the number of annual contracts but the total customers, roughly, for Tech isn't at an all-time high. So what's the delta? Are you doing a better job capturing annual contracts from the customers that you have or are there some small customers that haven't rebounded yet at this point in the cycle? Kind of, I guess, what can we infer from you reaching a peak in the annual before you reach a peak in the total number of customers? 
Scot Melland: I think there's a couple of things going on in there. First is that we are pretty good in getting our customers to sign onto annual agreements. And I think part of that is because many customers have now been with us for a while and so they trust the services and they're willing to go long term on the services. I think that the second reason goes back to the market conditions. I mentioned at the end of my comments that -- I said, we expect a nice market environment for Tech and it's definitely a nice market environment, but we have yet to really see the surge in turnover that we saw in 2006, 2007 beginning of '08. And so I think what you see, when that turnover happens, is it brings in a number of other customers into the market who buy shorter term deals. And so I would expect, if we get that surge, we'll collect some of that customer growth as well. The last thing I would note is that we do a lot of classified business today. In fact, our classified business is larger today than it has been in years past. Part of that is because we've added to our product line, products that are specifically targeted to serving some of the regular corporate customers. Best example is one that we call Premium Post. So it's a very high-end premium-priced posting that gives them much more branding, and that's been popular. 
Timothy McHugh: Okay, great. And then one last question, just for Mike. The D&A and the 2Q guidance seems to apply a step up but then the annual is a really significant step back down in 3Q and 4Q. Is there something about 2Q that's hitting it? 
Michael Durney: So I think the Q2 piece is rounding. And then if you look in the 10-Q, we have the amortization which varies, depending on the roll-off of the products -- of the brands, sorry. 
Operator: Your next question comes from the line of Jim Janesky with Avondale Partners. 
James Janesky: When a customer does not renew, Scot, what are the reasons for that? And how has that changed over the last couple of years? 
Scot Melland: Great question. So when customers don't renew, we actually do surveys to find out the reasons for nonrenewal. It's interesting, the most common reason for nonrenewal is no need. And if you think about it, we tend to talk about things with all of our customers as being subscription-based because we want to hang onto them on a continuous basis. But for some customers, they only need us for a period of time. We did a good job, they've filled the position, they move on and then they come back to us a few months later if they have another need. So the number one reason for nonrenewal is no need. So I just don't need it right now. Second reason, really comes down -- then it drops down significantly and the second reason is probably price. And then the third is alternatives. So alternative uses or alternative services, that's the term. 
Michael Durney: Jim, as a reminder, I know we've said this historically that -- when we talk about the renewal rate. The renewal rate that we measure on annual contracts is the rate in which customers renew in the month that they're up for renewal. So if we start with 73.5, roughly half of the ones that don't renew in the month they're up for renewal will come back at some point, either the following month or 2 months later or 6 months later. And so that, at least, helps explain some of the delta. 
James Janesky: Okay. And Scot, how was -- is that been consistent with prior cycles? Those 3 reasons? 
Scot Melland: Yes. Yes, it has. 
James Janesky: Okay. And so, when you say no need, what about an annual subscriber? I would imagine that, that's different because they're buying a package. Do they sometimes have no need then just go away or is that more likely for individual jobs? 
Scot Melland: Yes, yes. You're right, it's more likely for shorter-term agreement, for that to be the reason for nonrenewal. But it's actually the number one reason for annual contracts as well. What you find is that some, especially recruiters, can move in and out of the recruiting market. So they might be recruiting for technology people for a period of time and then they shift over to health care or they shift to whatever their local market needs are. So it's still the number one reason for annuals as well. 
Michael Durney: You also have a group of customers, mostly direct employers, who may have a need to build a small tech organization, buy an annual subscription because they know it's going to take them a little while to fill a need of 3 or 4 or 6 or 8 positions. And then once they fill the group, they don't have an ongoing need at that level then they come back and buy one posting for a job. But the no-need also is -- I'm not really in the tech business, but I have a tech need for a short period of time, but the way the pricing is structured, it's worth buying for a year to try to fill those positions. 
James Janesky: Okay. And with the Energy segment, could you give us an idea of the order of magnitude that -- as you refer to it, a transition hit the revenue line item and is that already coming back in the second quarter? Is that more a back half of 2012? 
Michael Durney: Yes. What I referred to before, really, was short term. So for the month of January and into February, the salespeople and client services people were really focused on making sure that the existing WorldwideWorker and Rigzone customers had the best experience in terms of transitioning out of WorldwideWorker and into Rigzone, and on the Rigzone service, we've made some changes as well. And so they really didn't sell many 1 and 3 months more packages. We renewed a fair number of annual customers, as we always have, in that period. But it really is a first quarter issue. And it's not much of an issue, I just use that as an explanation of what was going on during the quarter. But I think you can tell from the billings rate and the deferred revenue growth that the issue is minor and not going forward. 
Operator: Your next question comes from the line of Craig Huber with Huber Research Partners. 
Craig Huber: Craig Huber. A couple of questions, I guess. First, on the finance area, your numbers there look like they're down about 5.5%, your revenue there. I mean, can you talk about what the positive side there with what's going on there to hold that number up. It didn't show any collapse even though we have massive pressure out there, I guess, in the commercial banking, the banking sector. If you can tell us what, it's actually doing fairly well, what's holding the number up, please. 
Scot Melland: Well, I think if you look at the environment, what's happened is there's less recruiting. There's not no recruiting. There's just less recruiting. So what you have is customers adjusting down. And sorry, just to highlight that a little bit more, you can almost think about it as they're spending their time doing replacement hires, doing sort of some aggressive moves in certain depths or certain areas, but there's not a lot of growth hiring. So I think that's probably the best way to characterize what's going on. And if you look at how that manifests itself then is that you have customers adjusting down to the level of what they need at this time. You have staffing agencies that are, obviously, still busy, still doing work. So it's not like their contracts are going to go away. So there's a base level of recruiting that's happening out there. And there's a base level of service that they're buying from us. 
Craig Huber: And then also on the Energy side, your guidance -- maybe it's just around me, but your guidance seems to imply it steps up pretty nicely in the back part of the year. Your revenues anticipated in your Energy segment. Is that just rounding or is there a reason why you're anticipating that? 
Michael Durney: I think we're on a pretty significant growth track, which is the same thing that happened last year. If you look at last year, the step up in Q2 versus Q1, and then Q3 and Q4 had a nice step up. We expect that to be this year too. Some of the revenue in individual quarters is driven by the Events business. So in Q2, we have the largest event of the year, which is actually next week in Houston. But I would expect, as we season the new sales organization and client services organization, that you'll see increases in the business throughout the year. And I think that's consistent with what we've said we expect to happen. 
Craig Huber: Okay. And also, if you could please, talk a little bit further, I missed what you kind of said about the sales and marketing, what to expect in the second quarter and for the full year. I guess, you reported up $16.6 million in the first quarter. How should that trend here in the second quarter in particular? 
Michael Durney: Yes, I think you'll see it increase, take a step up in Q2. Part of it's Energy and the fact we're going to spend more in Energy, part of it's event-driven. So, for instance in Q2 is the largest trade show for Dice, which is the SHRM show in June. We'll do some other marketing around some of the new initiatives that Scot was talking about before. So I would expect that number to increase sequentially. And then it should flatten out for the rest of the year and then, as it always does, decline slightly in Q4. 
Craig Huber: Okay. Then also, could you speak a little bit further about what you're seeing in the tech market? Particularly by region around the country. Just a little bit more flavor there would be helpful. 
Scot Melland: Well, I think if it's fair to say, if you look at our posting growth and what's going on inside of -- the turnover, the postings on the site, that there's active recruiting going on across the U.S. But there are certain markets that the growth is -- where it's hotter and the growth is higher. So some of the highlighted couples in my statement, markets like Boston, Dallas, Atlanta, you see -- obviously, Silicon Valley is very tight and growing quickly. And then there's some other markets that maybe are a little bit slower in their growth. And I think that is related to some of the industries that dominate those markets, a good example is New York City. It's still a very large, in fact, it's the largest metropolitan area for Dice right now. But it's not growing as quickly because of its dependence on financial services. So again, we're not seeing that same sort of level of recruiting in financial services that we would normally see. And that comes out in the syntech [ph] world. So good market overall, growing overall, but you've got pockets of sort of strength and pockets of less strength. 
Craig Huber: And where is the tech unemployment rate right now please? How's it been in the recent months? 
Scot Melland: I think, in the recent months -- we're hovering around 4%. So you're really hovering around -- that's nationwide, again. So you're hovering around what a lot of people consider to be full employment. In certain markets, though, it's going to be tighter than that. 
Operator: Your next question comes from the line of Jordan Rohan with Stifel, Nicolaus. 
Jordan Rohan: I got some high-level questions for you. The first is you mentioned that one source of cancellations is competitive products. Can you talk about the competitive landscape, particularly in tech? And what I referred to, of course, is have you seen further inroads from LinkedIn and is there more room to gain share against Monster and CareerBuilder that, at some point, going to run its course there? The second question is on, I guess, the energy vertical. I'm not really an energy expert. Never really had to cover companies in that space but, clearly, the price of natural gas is cratering. And I'm wondering if that's changing drilling activity levels and if you have any sensitivity to that or if you're on the other side of the spectrum, more towards the crude and oil side. Just give me some perspective on that. 
Scot Melland: Sure. So I'll start off here on the tech side of things. So competitively, the competitive situation really hasn't changed. As I've mentioned in the past, competition with LinkedIn is very interesting because it's rarely head-to-head competition. Essentially, we're both calling on customers, both trying to get our fair share, or hopefully unfair share, of their recruiting dollars. And obviously, they're doing very well. We continue to grow, so we're getting an increasing share of what many of these companies are spending. And that's coming at the expense of some of the other general players and I think in LinkedIn's case, don't underestimate the amount that's been coming out executive recruiting budgets, to fill the LinkedIn plate. So no real change there. I think Monster and CareerBuilder, we do sense that the competition between the 2 of them is heated up, and it's definitely fierce. And as far as have we run the course of taking share from other players in the market? I think there's still more out there as we penetrate some of the direct hiring companies, some of the small and medium-sized corporate companies which are still a fairly small part of our overall customer base. 
Michael Durney: And then on the energy question, the historical strength of Rigzone has been in the Gulf and focused on upstream recruits, specifically. I think, if you look at the natural gas business and the crude business a lot of the skills at certain levels are interchangeable, a fair number of them aren't interchangeable. So I think the impact on us, from a penetration standpoint, is not very great in the natural gas business. But to answer the question on have we seen moves, yes, we have seen moves. There's been changes in where people are making investments and where they're drilling. But the impact on us is minimal, if any, given the historical focus of Rigzone. 
Operator: [Operator Instructions] Your next question is from the line of John Blackledge with Credit Suisse. 
John Blackledge: Two questions. First, Scot, is there any particular reason why we haven't seen the turnover surge on the Tech side? And then Mike, you mentioned some shift in the product investment into 2Q from 1Q, particularly at Dice and Rigzone. Just wondered if you could talk about product initiatives. Are they investments in social or mobile, and are they focused more on seekers or clients or both? 
Scot Melland: Sure. On the turnover question. Turnover tends to be much more of a function of how professionals view the economy. And so I mean, I think what's really going on out there is that there are people that -- definitely, if you look at the surveys, there are people that are itching to switch jobs and maybe are unhappy with where they are today. But they still don't feel comfortable making that switch. They don't want to be the first person in at the new company if the economy, overall, is a bit shaky. And so even though there's strong demand for tech people, there's need for tech people, I think if you talk to a lot of recruiters out there, what they'll tell you is that it's very difficult these days, compared to past years, pulling people out of companies because they tend to want to hang on to their depths a little bit stronger. Don't underestimate the impact of housing, too. I mean, they may be underwater in their house. They can't switch from one market to another. So that limits them in terms of being able to switch markets and they have to take good positions within a current market. So I think what we need to see is we need to see a little bit better overall economic situation or may be a little bit more time in a good economic situation so people feel comfortable with switching. 
Michael Durney: John, on the second question, I think the answer is all of the above. I think it's across-the-board. If you take Rigzone, for instance, we were quite focused at the back half of last year and into the first part of this past quarter. On the integration, we have a number of initiatives, some of them are social, some of them are features and functionality, some of them are regionalization. I think you're going to see more and more of that from a product development standpoint. Remember, for us, product development includes editorial. So we just hired editorial people in London and Singapore for the Rigzone business. For the first time, we'll have coverage outside, on the ground outside North America. On marketing, I think, you're going to see more regional, Worldwide regional marketing initiatives for Rigzone, the seeker side. The customers side you'll see some, not a lot. On the Dice side, I think it's across the board. It's the same initiatives that we've talked about, just continuing to build on those from a timing standpoint. 
Operator: There are no other questions in queue. I'd like to turn the call back over to Jennifer Bewley for closing. 
Jennifer Bewley: Thanks, everyone, for your time this morning and interest in Dice. We will be available to answer any follow-up questions you may have. Please call Investor Relations at (212) 448-4181 to be placed in the queue. Have a good day. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a great day.